Operator: Good day ladies and gentlemen, and welcome to the FY16 Third Quarter Earnings Conference Call for Richardson Electronics. At this time all participants are in a listen-only mode. [Operator Instructions] I would now like to turn the call over to Ed Richardson, CEO of Richardson Electronics. Sir, you may begin.
Ed Richardson: Thanks Francis. Good morning and welcome to Richardson Electronics’ conference call for the third quarter of fiscal 2016. Joining me today are; Robert Ben, Chief Financial Officer; Wendy Diddell, Chief Operating Officer; Greg Peloquin, General Manager of our Power & Microwave Technologies Group; Pat Fitzgerald, General Manager of Richardson Healthcare; and Jens Ruppert, General Manager of Canvys. As a reminder, this call is being recorded and will be available for audio playback. I’d like to remind you that we will be making forward-looking statements and they are based on current expectations and involve risks and uncertainties. Therefore, our actual results could differ materially. Please refer to our press release and SEC filings for an explanation of our risk factors. With the launch of PMT and the investments we’ve made in Richardson Healthcare so far this year, it’s been a very busy three quarters. We have more reasons than ever to be optimistic about the long-term growth in revenue and profitability of Richardson Electronics. Our global customer base continues to react positively to our growth strategies particularly in the Healthcare market. We’re on track with our initiatives in both business units and the momentum within the company continues to build. The third quarter is typically a low-revenue quarter due to holidays in December and January. This year was no exception. Revenues for the third quarter of fiscal year 2016 were $31.3 million which was below our prior year third quarter revenues of $33.5 million. Our gross margin improved to 31.2% during the quarter from 29.3% last year due to the higher margin healthcare business. We kept expenses for the quarter flat to prior year. Richardson Healthcare year-over-year improved due to sales of certified pre-owned CT tubes and replacement products with diagnostic imaging equipment. PMT revenue fell below prior year due to customer-delayed releases of several large orders which we now anticipate we’ll ship in Q4. Foreign exchange and economic conditions also continued to create challenges for us. Revenue was also below prior year in Canvys, our custom display business as our customers worked down higher than anticipated stock levels associated with slower equipment sales. Greg, Pat and Jens will share more specifics about market conditions in each of their respective business units later in the call. Now I’ll turn the call over to Bob to present the financial highlights.
Robert Ben: Thank you, Ed and good morning. Before I discuss the financial results in detail for the fiscal 2016 third quarter, I would like to make some opening remarks. While we must and we will have a better financial performance than our fiscal 2016 third quarter, I am excited by the progress that we’re making at our growth initiatives becoming a reality. There have been many key activities completed and milestones reached during the first nine months of fiscal 2016. I will leave further comments to Greg for PMT, and Pat to Richardson Healthcare. Now I will discuss our financial results for our fiscal 2016 third quarter. Net sales for the third quarter of fiscal year 2016 were $31.3 million as compared to the prior year’s third quarter of $33.5 million. As Ed noted earlier this decline reflected lower sales in the PMT segment as a result of uncontrollable delays in shipping backlog as well as lower Canvys sales. Gross margin increased to 31.2% from 29.3% last year reflecting a higher percentage of sales from the significantly higher margin IMES products. Operating expenses were $12.5 million for the quarter which represented a decrease of $0.1 million from last year’s second quarter. This decrease was due to reductions and support expenses primarily in IT offset by the inclusion of IMES expenses in fiscal ‘16 and continued investments in the company’s long-term growth strategy. As a result, our operating loss for the third quarter of fiscal 2016 was $2.7 million, the same as for the third quarter of fiscal 2015. Interest income for the quarter was approximately $0.1 million compared to $0.2 million in last year’s fiscal third quarter. During the third quarter there was a foreign currency loss of $0.3 million as compared to a foreign currency gain of $0.3 million in the third quarter of fiscal 2015. Loss from continuing operations before tax was $2.8 million as compared to $2.2 million in the third quarter of fiscal year 2015. We had a tax provision of $0.1 million which reflected primarily foreign income tax expense. Overall, we had net loss of $2.9 million for the third quarter of fiscal 2016 as compared to a net loss of $2.2 million in the third quarter of fiscal 2015. Turning to a review of the fiscal year-to-date results. Net sales for the first nine months of fiscal year 2016 were $102.4 million, an increase of 0.4% from the prior year’s first nine months of $102 million. Net sales for the first nine months of fiscal 2016 had been negatively impacted by unfavorable exchange rates in both Europe and Brazil. Gross margin increased to 30.7% from 30.3% last year. Operating expenses were $37.9 million for the first nine months which represented an increase of $1.6 million from last year’s first nine months. This increase was due to including the expenses of IMES in fiscal 2016 and the investments in both Richardson Healthcare and Power & Microwave Technologies’ growth initiatives, partially offset by a decline in IT support and other administrative expenses. With these additional expenses, our operating loss for the first nine months of fiscal 2016 was $6.2 million as compared to $5.4 million for the first nine months of fiscal 2015. We had a tax provision of $0.7 million which included foreign income tax expense and additional tax due in Germany that resulted from an audit. In the first nine months of fiscal 2015, we had a tax benefit of $1 million due to the fact that the company did not record the reserve against its U.S. deferred tax assets until the fourth quarter of fiscal 2015. Overall, we had a net loss of $6.6 million for the first nine months of this fiscal year as compared to a net loss of $3.3 million in the first nine months of fiscal 2015. Turning to a review of our cash position. Cash in investments at quarter end were $71.5 million. Cash used in operating activities was $5.7 million for the third quarter. The $5.7 million use of cash from operating activities during fiscal 2016 third quarter excluding foreign exchange and acquired businesses included the $2.9 million net loss and another $2.9 million of cash used for working capital investments to support future growth initiatives and some large orders to be shipped in the fourth quarter. Depreciation and amortization expense were $0.6 million for the quarter. We had capital expenditures of $1.3 million for the quarter, approximately $1 million related to our investments in our Healthcare and Power & Microwave Technologies growth strategies and approximately $0.3 million related to our IT platform. Lastly, $0.8 million was paid out in dividends during the quarter. Now, I would like to turn the call over to Greg, who will discuss the plans for our Power and Microwave Technologies Group.
Greg Peloquin: Thanks Bob, good morning everyone. Since the launch of the Power & Microwave Technologies Group at the beginning of the fiscal year, we have seen consistent growth in our backlog each and every quarter. With the current three-month book-to-bill ratio of over 1.3, we’re expecting good revenue growth in the Q4 and anticipating what we feel will be a strong FY17. As we have mentioned in the past, PMT includes our historical EDG business plus new technology partners for the RF, Microwave, Power and Energy markets. We continue to focus on developing relationships with technology partners that offer disruptive technologies in these high growth markets while delivering solid performance for our long-term suppliers and taking advantage of our global infrastructure and customer base. This strategy required key investments as we gain traction in our third quarter proven by design wins and some bookings. In the third quarter revenue for PMT was down compared to prior year. Sales were $23 million versus $25.2 million in Q3 FY15. The decline in sale was attributable to customer-delayed releases of several large orders which were shipped in the fourth quarter. Timing on several supplier shipments also hurt revenue growth. Gross margin was 31%, an increase from 30.5% last year. The increase is related to product and geographic sales mix. We had a number of regions that showed growth in the quarter which were led by European and Asia teams, particularly in China, Southeast Asia and Japan. Europe’s third quarter results were better than prior year continued to be negatively impacted by the devaluation of the euro. These regions captured market share growth for both business units in PMT. These gains were offset by decline in Latin American revenues which continue to suffer from challenging market conditions in Brazil and by a slowdown in demand for wafer fabrication equipment in North America, which is a strong market for Engineering Solutions Group, all of last year. Demand for tubes continues to be healthy in several key markets in Q3. We saw increases in revenue in both the industrial, marina and avionics markets. These businesses were once more offset by rapid declines in the broadcast tube market and a slowdown within the semiconductor wafer fabrication market. However, we’re focused on expanding that customer base and product offering to offset these teaks and values inherent in these markets. We continue to be excited by strong finishing FY16 as the Power & Microwave Technologies Group gains momentum. However, there continues to be some red plays out there. As we noted last year the semiconductor wafer fabrication market in North America remains a concern. Brazil has yet to establish an extended recovery rate plan. And fluctuations in foreign currency continue to create challenges. The customers we address at electron tubes and assemblies need our global support. Our new technology strategies require some design and time but this will allow RELL to maintain its large market share for niche products in its applications. With that said we have solid and stable position electron tubes and related assemblies with incredible market share. We are seeing more opportunities for products for our new suppliers and bookings are accelerating already in Q4. With growth backlog, we’re optimistic we’ll finish FY16 on a positive note and with good momentum going into FY17. I would now turn the call over to Pat Fitzgerald to discuss Richardson Healthcare.
Pat Fitzgerald: Thank you Greg, and good morning everyone. Healthcare sales in the third quarter of fiscal 2016 were $3.1 million up 52.5% over prior year sales of $2 million. Sales increased primarily from the acquisition of International Medical Equipment and Service or IMES which occurred in the first quarter. Sales in our PACS display business were down compared to prior year due to two large display refresh projects that occurred in the third quarter of 2015 and did that repeat. Gross margin as a percentage of net sales increased to 45.5% during the third quarter of fiscal 2016 as compared to 24.6% in the same period last year due to product mix. IMES products which consists primarily as high-value CT and MRI replacement parts typically brings higher margins than past displays. We continue to see a drive from healthcare providers to lower service maintenance costs and challenged capital expenditures. As a result, there is a growing demand for an alternative source to the OEMs for replacement parts and service on a global basis. We estimate the global market for diagnostic imaging replacement parts and service to be between $7 million and $8 million annually. Our strategy is to play a significant role in the development and sale of diagnostic imaging replacement parts on a global basis. The acquisition of IMES has given us a good start to an excellent model for extension. The investments we’re making locally and see prepare and development a key to the long-term success of this strategy. IMES is focused on providing CT and MRI replacement parts, training and technical support to end-user customers who wants to maintain their own equipment as well as the third party service organizations. The expansion of the IMES business from a geographic and product line point of view, continued to be a major focus this quarter. We held the grand opening of our European Products Parts and Training Center in Amsterdam on February 29, just in time to make the announcement at the European Congress of Radiology or ECR where Richardson exhibited for the first time. Response from the ECR was tremendously positive. Customers are excited to have dedicated parts training and technical support available in Europe. We expect to hold our first CT training school in Europe in the fourth quarter and we’re in the process now of evaluating additional international markets where we may want to have local parts and training support. In some cases we are considering strategic partnerships with local companies as a means to accelerate entry. IMES has historically focused primarily on stable brand equipment. That long-abstract position we began expanding the product portfolio to include additional brands of CT and MRI parts as well as repair services for high-value components like MRI coils. In many cases we have been able to leverage Richardson Engineering and Manufacturing Resources to develop new repair and refurbishment processes and parts. These activities have been gaining traction and fiscal, year-to-date parts sales from product line expansion has now exceeded $1 million. The company continues to make significant investments in its CT and X32 development and manufacturing capabilities including capital equipment and experienced engineering resources. We are making excellent progress building a factory within a factory and remain on track to meet our long-term production and sales goals. Sales of Richardson certified CT tubes increased again in the quarter and we’re working closely with suppliers and partners to ramp up production. Tubes produced in LaFox are being sold through the IMES parts business in order to leverage synergies between the product sizes. Sales of our Image Systems brand displays for Picture Archiving & Communication Systems or PACS and related accessories and equipment for operating rooms were down primarily due to the absence to large display refresh projects that occurred in the prior year. There is an ongoing initiative to leverage our excellent IMES service channel relationships with hospitals, third party service companies and asset managers to identify additional PACS display refresh entities. The sales for PACS displays can be quite long up to 24 months, but we expect this effort will eventually bear fruit. In our Wireless Flat Panel Detector business, we continue to build our network of service provider partners who have engineers embedded in their customer sites. We believe these partners have unique insight into which hospitals have both the need and the budget for digital radiography or DR upgrades. We are now managing a very large sales pipeline of DR upgrade opportunities. The Consolidated Appropriations Act of 2016 signed in December by President Obama begins to cut Medicare reimbursement for X-Rays using analog equipment in 2017, which we believe will help customers financially justify the investment in DR upgrades in future quarters. Competition in this market is tough though we believe our solutions from Towers [ph], the leader in flat panel detector technology help benefit superior to the competition. We don’t see our entry into this market as a quick-win for Richardson Healthcare but believe long-term success here will help further position us as a serious player in the healthcare market. With IMES parts, CT and X-Ray tubes, PACS in operating room displays, wireless DR upgrade solutions and power grid-tube MRI systems, Richardson Healthcare has established excellent relationships with hospitals and independent service organizations on a global basis. Over the past year, we have significantly strengthened our value proposition for healthcare providers looking to lower their cost and increase efficiency. We continue to explore additional acquisitions in this market and are focusing on companies with models that can be expanded internationally and to provide products and services for underserved markets. We’re also evaluating partnerships and organic investment in product line expansion. I’ll now turn the call over to Jens Ruppert to discuss Canvys’ third quarter results.
Jens Ruppert: Thanks Pat and good morning everyone. Canvys which includes engineering, manufacturing, sale of custom displays to regional equipment manufacturers in industrial medical markets had sales of $5.2 million during the third quarter of fiscal 2016 down from $6.2 million through the same period last year. Sales were down due to lower new customers related to excess token hand. Gross margin decreased from 26% to 23.2% due to impact of exchange rate and inventory refresh expense. The division did a good job controlling costs and we continue to close you with our agent suppliers to deliver the highest quality at competitive prices for our customers. Our order backlog increased slightly quarter-over-quarter which is a good sign. We focus this quarter on marketing initiatives and creating new demand. We released a white paper on today’s cast screen technologies we although purchased various product focus featuring our key markets including the Denver [ph] digital market, the public transportation market and others. We will continue to explore cost effective ways to reaching new customers. During the quarter we won several new programs from existing and new customers in radio therapy and radio surgery, laser eye surgery and public transportation market, and all the new areas for us such as interventional, cardiovascular area. I want to [indiscernible] continue to grow as we are challenged with new technology and requirements. We are currently working on new sites with planned purchase orders from our customers and we are confident backlog will increase further over the coming months. We are also focused on our two tier supplier study, continuity in our supply and ongoing streamline of operations. I will continue to refuel and adjust our business strategy with the goal of improving and operating performance of the division. It is clear we are for our customers’ outstanding product and service. I will now turn the call back over to Ed.
Ed Richardson: We’ve accomplished quite a bit in a short period of time but we still have a lot of work to do. We anticipate that our investments in PMT will create revenue gains in the near-term and allow us to maintain our strong and profitable position in the Microwave & Power Grid Tube business. The real growth and profitability will come from the investments we’re making in healthcare. We can’t stress this enough. The opportunity in healthcare is huge but it’s tagged with the success of our CT tube programs. With the availability of affordable replacement CT tubes, more service companies and medical institutions will take high-cost maintenance contracts away from the OEMs. This will drive demand for replacement parts sales which will provide improved margin for the company. Our recent launch of Richardson Healthcare in Amsterdam puts us ahead of the curve in Europe. It also positions us well to grow sales to the lives of healthcare service companies in the United States who have international expansion plans. We’re keenly aware of our cash position and the need to return investment. We’ll continue to spend appropriately and to consider acquisitions and stock repurchases opportunistically. At this time, we’ll be happy to answer a few questions. Francis, now we open up the lines for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Mark Zinski. Please proceed.
Mark Zinski: Yes, good morning everyone.
Ed Richardson: Good morning Mark.
Mark Zinski: I guess, I wanted to start off on the PMT division. Back in October, you had talked about I think eight new suppliers and design cycles taking six to 18 months. So I guess, I understand there are a lot of moving pieces to this division which contributed to I guess some of the push-out in orders. But do you think you are at somewhat of an inflexion point there, I mean, do you expect Q4 PMT sales to increase year-over-year?
Ed Richardson: Yes, absolutely. I’ll let Greg comment on some of the new suppliers and the backlog that he’s seeing from those suppliers.
Greg Peloquin: Yes, actually it’s getting a lot of traction. Q3 was a huge booking month for these new suppliers. And the cycle times you mentioned, we’re pleasantly surprised that we’re seeing bookings and design wins much sooner than we thought. And the way its set up now in terms of orders that are in-place, backlog, scheduled to ship in the fourth quarter, we’ll exceed prior year in the fourth quarter. And with some other investments we made in other types of programs, some manufactured product we’ll exceed prior year for the entire organization.
Mark Zinski: Okay, so it’s more of a timing issue than vertical weakness, although there is obviously some vertical weakness but mostly a timing issue?
Greg Peloquin: Absolutely, I mean, we’re way ahead of schedule in terms of identifying and signing key technology partners. Some of the designs that I mentioned have come to fruition sooner than we thought. And so the backlog is actually increasing in the Q3, and already again as I mentioned in Q4, that’s what we had forecasted. So, again it goes back to what I said at the very end there we’re very excited about Q4. It will be a very strong quarter for us. And it also would give us a lot of momentum going into FY17.
Mark Zinski: Okay. And then, Ed, are you still comfortable with the prior estimate of Q4 of fiscal ‘17 being a break-even quarter?
Ed Richardson: The fourth quarter of ‘17, is that what you’re asking?
Mark Zinski: Yes, yes.
Ed Richardson: At this juncture, I would reserve comment on that until we have a better chance to look at the plan for ‘17. Certainly that was a projection that we made based upon developing CT tubes. But we’ll take a higher look at that as we put the plan in place for ‘17.
Mark Zinski: Okay. Gross margin has been holding up well and been a pleasant surprise I guess. If you add some more volume, is there potentially some more upside there?
Ed Richardson: Yes, certainly there is. The volume in healthcare particularly where the margins in healthcare are up in the mid 40s will add overall margin to the company. One thing I will mention is we had a very large order that we had completed manufacturing on which we felt we would get shipped in Q3. And our customer pushed delivery off and that order will go in Q4. If it had gone in Q3 we would have seen a nice increase in business or empty in the quarter.
Mark Zinski: Okay. And then I just have two questions for Bob. Bob, in terms of working capital and your operating cash flow, do you see operating cash flow turning positive any time soon?
Robert Ben: Well, let me just comment for the fourth quarter because that’s what is right in front of us. In regards to accounts receivable that has been under control and our DSO is approximately 51 days and it has been consistent for several quarters. Regarding the inventory, I know there has, been questions about the increase there. You just Ed’s comment about a significant order shipping in the fourth quarter and so I expect that to continue to become better controlled. In regards to accounts payable, our days, payable outstanding is around 50 days as well and I expect that to potentially go up depending upon the mix of purchases made. So I think working capital will be relatively better than it has been in terms of cash used. So that leaves the next largest item with cash flow from operations as the net loss or net income. And certainly we’re not giving guidance but I do think you’re going to see an improvement in the fourth quarter certainly relative to the third quarter. And Ed mentioned the shipment that didn’t happen in the third quarter that will in the fourth. So overall I think you’ll improvement in cash flow from operations.
Mark Zinski: Okay. And then just lastly on the share repurchase program, you didn’t repurchase any shares this quarter. So what’s the current authorized amount outstanding or available I should say?
Ed Richardson: It’s about $10 million.
Mark Zinski: Okay. And you are going to revisit the plan going forward?
Ed Richardson: Well, we talk about it in every board meeting, so certainly we’ll look at it.
Mark Zinski: Okay. That’s it from me. Thank you.
Ed Richardson: Thanks Mark.
Operator: Your next question comes from the line of Dennis Amato [ph]. Please proceed.
Unidentified Analyst: Yes, good morning. I just wanted to follow-up on the last question there with regard to share repurchases. You mentioned that one of the uses of cash would be opportunistic repurchases of stock and as the last fellow mentioned there was nothing in the fourth quarter with the stock selling at half of book and basically as for cash on the balance sheet. If this price isn’t an opportunistic use what would be, and why wasn’t anything purchased? And how do you view that going forward?
Ed Richardson: Well, one of the interesting things that you sort of have to dig deep to understand is although we have $71 million in cash left, the vast majority of that cash is trapped in China, in Hong Kong, in outside of the United States. And for us to bring the cash back into the United States is very difficult. And if we do that it’s deemed dividend and it’s taxed to 39% although we do get our foreign tax credit. So we’re very hesitant to bring the cash back. We’re working on a program as we speak to bring some of the cash back and we’ll give you more information on that later in the year.
Unidentified Analyst: Would it not be feasible to borrow domestically against that, I mean, at this level and these interest rates that might be financially make sense to borrow domestically to buy stock back against knowing you’ve got that cash over there?
Robert Ben: Hi Dennis, this is Bob Ben. We’re investigating additional funding for something like that. But at this time I don’t have anything I can say further.
Unidentified Analyst: Okay. Thanks.
Ed Richardson: Thanks very much.
Operator: Your next question comes from the line of Matthew Miller. Please proceed.
Matthew Miller: Yes. I wondered if you could provide any further detail on the orders that didn’t ship I think you referred to $6.5 million order in PMT at the end of the last quarter. Is this the large order that wasn’t shipped in Q3?
Ed Richardson: That particular number is several orders. You’re correct, about $3.8 million of that number was ready to ship at the end of Q3 and was pushed over into Q4 by our customers.
Matthew Miller: And I think the book-to-bill in PMT in the prior quarter was 1.15. If we exclude the impact of this large order on Q3, is it fair to say that the book-to-bill is probably comparable to what it was in the prior quarter?
Ed Richardson: Yes, this order was booked in Q3, the large order. So, if you take that $3 million plus, with orders about 1.15.
Matthew Miller: Okay. So, I guess, it might be fair to say that there hasn’t been necessarily an acceleration in backlog growth, is that fair to say?
Ed Richardson: Well, the 1.15 book-to-bill is pretty strong, that’s 15% over what you’re shipping. In addition to the manufacture product that we made, we had about 1.5 million to 2 million of bookings that the suppliers were delinquent on their deliveries for. So, and the book-to-bill to grow in Q4 with those orders already booked in Q3. So, we’re going to see a book-to-bill in Q4 of over 1.1. That’s a pretty good booking rate when you’re in a start-up mode in these design cycles etcetera.
Matthew Miller: And just philosophically, you referenced the breakeven point and how crucial the two is to that. Just philosophically does the company believe in its current state with the growth in PMT if it could reach breakeven without tube business maturing as you think it will?
Ed Richardson: Well, we’re investing a substantial amount of money in healthcare. And we certainly have no reason to think that we’re not going to be able to deliver CT tubes. So that isn’t something we really thought about it all. It’s just a matter of win not lose. And we’re making good progress in that area.
Matthew Miller: I guess, if we were to look at the standalone, I certainly respect that. But if we were to look at PMT on its own, I guess the question is, is there a belief that this business can be profitable for the organization regardless of what we do with healthcare or do we need to look at the cost base at all?
Ed Richardson: Well, going back-ways, when we sold the RF division, we sold the assets of that division at that time that business was about $380 million. And we kept all, the international infrastructure in place and we did that for a reason. But we have 24 foreign subsidiaries and 40 offices over the world. And frankly we have infrastructure in place to run $180 million business and we’re currently somewhere around $140 million and have plans to grow. But that’s the issue, the only way PMT could be profitable on its own would be to cut that infrastructure and that’s not our plan. Our plan is to move into healthcare and use that infrastructure to grow the healthcare business which we think is the future of the company.
Matthew Miller: And I wonder if you could comment at all, it sounds like for the first time, I don’t want to put words in your mouth. But the hesitancy on breakeven by the end of next year seems to be creeping in if I may say that. You referenced just a moment ago it’s somewhat dependent on timing of tube deliveries. I wonder if you could provide us any more commentary on what from the outside might seem like an interpretation that breakeven is being pushed out.
Ed Richardson: Well, again, it’s strictly size and revenue. To breakeven we need to be up around $180 million in revenue. We were obviously disappointed in Q3 and what we’re looking at is how quickly we can get to that $180 million. And if there is hesitancy, that’s the hesitancy. Right now we’re working on the FY17 plan. And once that’s completed we’ll know exactly where we’re going. But at the moment I can’t tell you that.
Matthew Miller: But does the company still believe it will be able, with the capability to ship new CT tubes by the end of next year, I guess that is the heart of my question?
Ed Richardson: Well, between that and repairing CT tubes, if that happens, we’ll be profitable by the end of the quarter next year. But at this juncture that’s still a miss.
Matthew Miller: Okay. Can you talk about maybe then the hurdles that remain to delivering new CT tubes?
Ed Richardson: You want to make some comments on that?
Greg Peloquin: Yes, absolutely. So, I would say at this moment, we’re on pace with our program. We’re bringing in material and long-lead items for building the first prototypes. We have had a few delays with specialized equipment. But overall it seems like we’re still good to hit most if not all of our milestones.
Matthew Miller: And when - can you remind us when first prototypes - the milestone there when that should be?
Ed Richardson: Typically we start assembling tubes I would say six months prior to when we want to release and finish product because it’s got a lot of validation, verification to do, we want to do internal testing and we’d also want to do testing on systems in the field as well.
Matthew Miller: So, it’s fair to say perhaps by the end of the second quarter next year you’d hope to have prototypes, finished prototypes?
Ed Richardson: Yes, absolutely.
Matthew Miller: Okay.
Ed Richardson: And in the meantime, we’re working on extending our capabilities to create certified tubes and both with more volume and also being able to do more extensive repairs.
Matthew Miller: And on the pre-used, I think in the prior quarter you said you did 400,000 or so in revenue, can you provide some sort of commentary on what that looked like in this most recent quarter?
Ed Richardson: Yes, well, so, on a year-to-date basis, I know we’re at about 2.1 million in CT tube sales. And we produce now about 700,000 of those in LaFox from certification.
Matthew Miller: Okay. All right, thank you.
Ed Richardson: Thank you.
Operator: Your next question comes from the line of David [indiscernible]. Please proceed.
Unidentified Analyst: Good morning gents.
Ed Richardson: Good morning.
Unidentified Analyst: My question actually has been touched upon already. But as long as I’m in the queue I’ll dig down a little deeper if I can. You said you had $70 million in cash or thereabout at the end of the quarter, some of which is locked up in China and elsewhere. How much of that $70 million is locked up and how much is available?
Ed Richardson: Go ahead Ben.
Robert Ben: Well, much of it is available, I mean, even though we have significant amount of cash overseas, I would say there is about little under $20 million here in the U.S. and the rest is primarily in Europe and Asia. And we are looking, as Ed mentioned earlier, we’re looking at some repatriation strategies there, that at this time I can say we feel good about but until we actually make an effort to bring that back I can’t say anything else.
Unidentified Analyst: That’s a good idea. So the point was, we didn’t buy any stock back under the repurchase program and we have approximately I think it’s about $10 million left under that authorization. We did buy stock a quarter ago, quarter past because that, 288,000 shares when the stock was in the $6 range, I think your average price was $5.83 on the buyback. The stock presently is $5, so it’s even more compelling than it was three months ago when you did buy it. And you didn’t say you have $20 million, $30 million still available. So this is low hanging fruit to buyback. I mean the book value the tangible book is $11 a share. And stock sells for $5.10, $5 a share let’s say. So there is 100% mark-up here. You don’t make that kind of mark-up in your business. And the company has been back-tracking on when the profitability will come $4. So, why wouldn’t you take advantage of this low hanging fruit before you invested $1 in the electronics business?
Ed Richardson: Bob, certainly it has to do with the availability of cash, if you go backwards, the time we were buying stock, we had a great deal of more cash than we do right now especially in the U.S. And that’s what we’re concerned about.
Unidentified Analyst: Right. But you’re buying $1 for $0.50 and your thrust is to get to $180 million in revenue, I mean, I hope you achieve that but it’s still questionable as to how profitable you’ll be when you get there. This is a 100% mark-up, it’s a 100% profit on day one. It’s the lowest hanging fruit you got, the best investment you could do, why buy another company where you certainly won’t achieve 100% mark-up. And here by buying the stock you will, this is an unusual opportunity. To me I can’t see why you wouldn’t beg, borrow and steal to do this before you go on with the other things. Are we blind-sided here?
Ed Richardson: I think one important thing to note is, and we said it this quarter, you’re starting to see the lift in the company’s margin from the healthcare sales. And as I noted on my comments, the margins in the healthcare segment are significantly higher than the company overall. And that’s said that’s where we’re investing. And so, certainly I think that’s the compelling reason for us to continue to use our cash for the healthcare, investing in healthcare business.
Unidentified Analyst: All right, but you did feel three months ago at $5.83 that the stock was compelling enough to buy and you had all these things on your plate as well. And you paid higher the stock is kind of 15% lower than that. And you didn’t act on it, so I find it little strange that’s all.
Ed Richardson: So, we repatriate some of this cash, we’ll be looking at it again.
Unidentified Analyst: Okay very good. I’ll get back in queue. Thank you.
Ed Richardson: Thank you.
Operator: Your next question comes from the line of Roland [indiscernible]. Please proceed.
Unidentified Analyst: Good morning everyone. Can you hear me?
Ed Richardson: Yes, good morning Roland.
Unidentified Analyst: Hi. Well, you guys have done a good job answering most of the other questions I’ve had. So, I guess, I’d like to also ask a little bit about the share repurchasing. Ed, in the earnings press release you stated that since the sale of RFPD the company has spent $65.6 million on share repurchases. So, my first question is, what percentage of that was from the common or class B shares and what percentage of that would have come from the Richardson Willy [ph] funds?
Ed Richardson: At this moment I couldn’t tell you it’s a very, very small percentage.
Unidentified Analyst: Okay. Well, could you have that percentage available for us during the next call?
Ed Richardson: Sure.
Unidentified Analyst: Thank you. As a follow-up, I noticed that your updated proxy material listed some large repurchases of your shares in 2013 and ‘14 for year-on-year Willy [ph] Fund Foundation. Looking at earlier proxy material, I don’t see other similar repurchases disclosures but the company didn’t repurchase your shares of the Willy Foundation within the company purchase shares prior to 2013 and if so, how many and at what prices?
Ed Richardson: Again, we can get that information for you. I don’t have it right at the, right in front of me. The board authorized the repurchase the $75 million in shares and any stock that was purchased anywhere was done in the open market was done by BofA who is our agent and was regulated within the shares being sold in that day.
Unidentified Analyst: Okay, thank you. Well, I’m firmly onto the last gentleman’s comments, are stock currently trading at less than the net current assets in just over cash and investments per share? Why, I guess you’ve already addressed why you hadn’t brought prices at these ridiculously low prices in the $4 to mid-$5s where a while back you were buying at a much higher ranges. We certainly would like to see that happen.
Ed Richardson: We appreciate your thoughts. Again, we’re trying to recreate some of this cash and we’ll be looking at it again.
Unidentified Analyst: Well, okay. I hope you start acting more in line with outsider shareholders and, it seems like a bit of self-dealing going on here. Can you promise all of us on this call that you’ll do that going forward?
Ed Richardson: I can promise you that any related party transactions are handled the same way they would be by buying stock from someone on the outside.
Unidentified Analyst: Okay, thank you.
Operator: Your next question comes from the line of Matthew Miller.
Matthew Miller: Yes, just two quick follow-ups. Can you just provide perhaps strategic overview of where you see the Canvys business at this point? It was obviously quite a weak quarter for that business seems to be accelerating in that regard. Can you talk about, I know there has been a little commentary in the prepared remarks but there doesn’t appear to be anything on the horizon that is going to change the fortunes of this business. And so, maybe you disagree with that but can you provide some commentary on how strategic you feel this business is and why it’s best to not just sell the business or shut it down at this point?
Ed Richardson: Sure. Well, as you may be aware we added a new General Manager back in the first quarter of the year Jens Ruppert joined us at that time. He’s been in the display industry for some time he’s been very successful particularly in the medical OEM business for selling displays. And so we’re giving him a chance to roll-out his strategy and sort of add some new ideas to the business. And again that business is very much like the power conversion portion of PMT. It’s OEM business where you get a design cycle of six to 18 months. Once you’re into those OEM time tracks, the nice part about it, they last three to five years. But we’re early and we’re giving Jens a chance to see if he can build the business up and using his expertise and knowledge to do that.
Matthew Miller: But can you provide some commentary on, even in the success scenario at a gross profit margin that’s in the low to mid-20s I guess. What is the, I guess, economic justification for that effort? Certainly I respect that someone is new and it doesn’t happen overnight. But even in the success scenario, can you talk about what is the perhaps economic rationale behind that patience?
Ed Richardson: Well, it’s certainly, we’re going to look at doing anything with the business, the time to do that as when it’s profitable and producing a good return on investment is very difficult to do anything when it’s marginally profitable as it’s now.
Matthew Miller: Okay. And just one last follow-up on the buyback, I think it was mentioned that there was $20 million of cash still in the U.S. Is that just not sufficient for the buffer you think you need to repurchase shares?
Ed Richardson: Well, our use of cash during the year, which included an acquisition, is obviously but we’ve used $38 million worth of cash so far this year. And we’re attempting to put the brakes on the cash used. But looking at that you can realize that the amount of cash we have in the U.S. doesn’t make us very comfortable at the moment.
Matthew Miller: All right. Thank you.
Ed Richardson: Thank you.
Operator: And at this time, there are no further questions in the queue. I would turn the call back over to you Ed for closing remarks.
Ed Richardson: All right, thank you. Thank you again for joining us and your ongoing support of Richardson Electronics. We look forward to discussing our fiscal 2016 fourth quarter and year-end results with you in July. Thank you.
Operator: Ladies and gentlemen thank you for joining today’s conference. This concludes the presentation. You may now disconnect. And have a great day.